Operator: Greetings, and welcome to the Endeavour Mining’s First Quarter 2014 Results Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Neil Woodyer, CEO of Endeavour Mining Corporation. Thank you Mr. Woodyer, you may begin.
Neil Woodyer: Thank you, operator and thank you everybody for joining us on this first quarter’s webcast for our results. And as usual with me, I have Attie Roux, our Chief Operating Officer and also Christian Milau, our CFO. And if I could take you slide four, which shows the quarter 1 highlights where we had a record production from our four mines and we produced 106,000 ounces for the quarter. We generated 137 million of revenue and the all-in sustaining cost ounce was 1059. We are able to generate all-in sustaining margin of 25 million. We are also benefited in this quarter from Agbaou demonstrating a very strong and sustained performance. It produced 24,000 ounces and as a mine level all-in sustaining cost, in other words our cash royalties and sustaining capital from the mine, it had all-in sustaining cost of just below 650 ounce. As we have reported previously, Houndé is in permitting and we would hope to have that permit finished towards the end of the year, perhaps at the end of the quarter three but certainly by quarter four and it has the potential to expand and reduce our all-in sustaining cost base as well. In this quarter, that built Agbaou over the management for our Houndé project and they are evaluating various alternatives with construction and also developing community relations. If we can go to slide five, which shows that crossed the top the production by mine in the quarter 24,000 ounces for Agbaou, 33 from Tabakoto, 28 from Nzema and Youga 20,000 making 105,000 to 106,000 ounces. It also shows the cash cost per ounce by mine and also the mine all-in sustaining cost by ounce. So we had good profiles from three of our mines and we are going through the transition to own the mining and the development of Tabakoto, so there cost higher in the first quarter and the second quarter and we expect those to be coming down in the third and fourth quarters. Our, all–in sustaining cost as a corporation as I said was 1059 which is 10% low than the same quarter on quarter last year based upon the comparable basis. Attie will refer a bit more detail to own the mining at Tabakoto further on but as I say we will improve our cost profile, the contractor’s less site at the end of March and we have our employees doing the mining now and we have retained about 300 of the employees from the contractor, so we have full set going there and now as I said we will cover that in slightly more detail in a few moments. Let me take you to the slide six and handover to Christian will take you to through the sustaining margin and all-in sustaining cost in a bit more detail.
Christian Milau: Thanks, Neil. Looking at the box on the left there on slide six, produced 137 million of revenue for the first quarter which is roughly $20 million more than 2013’s comparable quarter, which is about 106,000 ounces of closing gold, and that 106,000 ounce is almost 9000 ounces over our plan for the quarter, so it will be a quarter all round and that does not include the actual ounces of gold sold for Agbaou during January which was the commercial production, so total gold sold the quarter is actually is almost 112,000 ounces. The mine cash margin is $37 million which is almost 29,000 ounces of gold equivalent or 27%, the EBDITA margin is 23% or almost $32 million and that does not include January’s profits from Agbaou which were capitalized and then the all-in sustaining margin it just over $25 million which is putting us in a nice place and on track to meet our $95 million plan and target for the year, the first quarter being one of our weakest quarter for the year or at least plan to be weakest quarter for the year. And looking at the right hand side gives an idea of the breakdown of the cash cost about $879 of the pure cash cost which is down slightly on the previous quarter in the end of 2013 and that presents in $1059 all-in sustaining cost per ounce which is about 10% down on prior year and is within our guidance for the whole year and considering this is one of our weaker quarter, it puts us in a good place for the year. We’re looking for the H2 or half two of the year to be slightly stronger, Agbaou will have a another quarter of, a slightly higher quarter of slightly higher cost but in half two should start to come down again as grade improves as we move into the third and fourth quarters, as well (inaudible) cost with the all sustaining level are in line for this quarter, most likely that’s a waste capitalization more of its been actually expense so the all-in sustaining cost is in line is in line with what we plan for that first quarter, so puts us a good place for the full year guidance. Turning over to slide seven, slight seven gives the reconciliation of the cash positions, so we have started the year with about $73 million, when you add the all-in sustaining margin of 25 million, we have actually invested just over 20 million for the first quarter and mostly that was related to Tabakoto, so we had a give or take 5 million at Segala development, some equipment and CRF plant for another sort of $4 million-$5 million, some demobilization of the contractor and that totals up to about $16.5 million and then the other three mine sites and exploration spent almost $4 million, so a total $20 million and the rest of the cash was spent with the small amount of working capital outflow, some taxes paid and the interest paid in the first quarter and the gold hedge settlement we started delivering into the hold and Zema project finance hedge that we acquired with autonomous starting again this quarter. So we still have another 91,000 ounces to deliver into over the next two and half to three years. So that left with earning cash balance of almost $68 million and something to note as well as is that Agbaou still had a few thousand of ounces in GIC which have come out in the April and could have potentially been poured in the quarter but will come out in to the second quarter, so a pretty good result for the cash balance at the end of the quarter. I will also the slide eight to Attie.
Attie Roux: Thank you, Christian. We will start the operating summary with Agbaou with the newest mine. As Neil mentioned, the commercial production was only declared towards the end of January, so we are only reporting the first, second and third months for the quarter. We had very good operation since the beginning, well above budget and the mine benefited from higher than plant processing grades little bit above plan. The profit was well over plan and also very-very good recoveries at 97% for that period. And that's mainly due to the material part currently being processed. The mine also have benefited from a very quick commissioning and a very quick rent of after re-commissioning. We can turn to page 9. Talk about Tabakoto mine in Mali. The tonnes processed for the quarter was 350 tonnes which is showing the increase more capacity. The average grade of 3.25 was lower than the previous year which is due to the top of the total capacity of the Mali with the lower grade stock getting over and shipping on surface and that would be displaced in the second half of the year by the higher grade coming from Segala as Segala ramps up. As expected, the cash costs were above our guidance for the first quarter and as Neil mentioned, it’s mainly due to the transition during mining and there has been some related cost between us and the contractor prior to the departure. What we can say at this point in time is that Tabakoto mine, the only mine which conversion has been successfully completed, all the equipment and the labor for Takakoto are owners at the moment and in place, contractor has been demobilized and Tabakoto mine is currently operating normally and in full production at the moment. We are continuing with the development of Segala underground and which is progressing towards commercial production in the second half of this year and we expect the cash cost the cash cost relating to (inaudible) in the second half as we ramp up the Segala. If we turn to the next slide which talks about Segala, on page 10. At the end of April, the decline was over 200 meters below surface for the total of nearly 1300 m in the decline area and the total of over 3 kilometers of lateral development on the first four levels to provide us access to the ore body. Segala is on tract at the moment to ensure that we have the production from the first full in the next month and we will see it may have been in quarter three where we have second production site coming on line to be essentially about two-thirds of capacity during the third quarter and then in the fourth quarter we will see the Segala ramping up to full capacity with production from total of four sites with two at any point in timing to production and two in the flow of (inaudible). In addition to that we will be developing the next two sites which will be on a replacement site to replace the existing sites and they also provide us with the excess of flexibility. Currently, they have few pieces of equipment and labor still associated with the ramp up that we need but these are on schedule according to the ramp up and we don’t see any problem coming on line on that. The only outstanding item which is CRH plant that would be operational in the fourth quarter but it would not give any production as we can mainly remix with that for underground for the first two sites. We can turn to page 11, with summary for Nzema Mine. As we can see the tonnes for Nzema is starting to decrease down to a level for the hard rock capacity of the plant as we have moved from the satellite material into the hard rock coming mainly from (inaudible). As expected, the high grade has improved significantly over the period in time as we move to the mine ore (inaudible) and it is also positively influenced by the purchasing of ore from other party. The gold ounces for Nzema has positively influenced by the rate obviously and that also starting to positively affect the cash cost and all-in sustaining cost of the mine. Turn to page 12, we have update on Youga. The Youga has been a very good steady performer of ounces and cost for a long time and we can start seeing Youga, during this year moving slowly to the next stage in the light of, moving to the lower grade satellite deposits as the mine which initial during the (inaudible). So overall, a good performance for Youga for this quarter. Moving to page 13, a quick update on the Houndé Project. Just a quick update, the feasibility study was completed in November last year and it targeted 180,000 ounce per year production over 8 years with all-in sustaining cost of less than $800 per ounce. The introduction of Houndé into the mix will expand in Endeavour’s low cost all-in sustaining base quite significantly. The application for the environmental in the mining permits was submitted late last year and the process that takes typically from 6 to 9 months and that's towards the end of this year. Public consultation meetings were held recently and most of it completed successfully. And as Neil mentioned earlier, The Projects Team now finished with Agbaou and having the experience and the recent history of Agbaou is well placed now to review the optimization of the Houndé project and which can take the project forward. In addition to that, the exploration team has developed a program, exploration program based on the knowledge of previous drilling what we had and that does aim enhancing the resource base into the future of the Houndé project and you can see that on the drawing on the right hand side, the red stars. At this point, Neil, back to you for conclusion.
Neil Woodyer: Okay. Thank you, Attie. Let's turn to slide 14 and as I said we produced record production of 106,000 ounces in the quarter. We were able to reduce all-in sustaining cost on quarter on quarter by about 10% and then now we benefited from the Tabakoto mill expansion and the all-in sustaining cost low of Agbaou plus the various programs which had underway for the last12 months. The final program of course is the completion of the optimization at Tabakoto and Attie gave you an update on where we were stand on mining, we are now are on the mining. We also have the development work, target ahead of us was Segala where we should post-first production late to this quarter and fully ramp up by the end of the year. So we should have the ability to meet our guidance that we gave earlier in the year and we state our guidance for the year. Houndé gives us the opportunity for the production increase as that's appropriate once we have the permitting then we can make decision at that time. So, we are in a good situation by which in terms of completing our cost optimization and insuring that we are maximizing the cash flow to our shareholders and then once we get into that state, in the second part of the year, we should then be looking at the various alternatives open to us on a capital allocation basis, looking at our balance sheet and looking at Houndé and other issues and deciding how to go forward from a much stronger base than we had in the past of good cash flow coming from operations. That ladies and gentlemen, concludes the formal part of our presentation and I’ll now hand back to the operator so that we can go through Q&A session with you. Thank you, operator.
Operator: Thank you. At that this time, we will conduct question-and-answer session. [Operator Instruction] Our first question comes from the line of Rahul Paul with Canaccord Genuity. Please proceed with your question.
Rahul Paul - Canaccord Genuity: Hi, everyone. Great to see Agbaou performing so well on the ramp-up. I am assuming the rainy season has started by now, I am just wondering if you could talk a little bit about what impact the rainy season has had so far on performance of the plant and the mine.
Attie Roux: Rahul, this is Attie. Yes, you are right. The rainy season has just started. It's very early days; we haven’t seen a major impact yet. We have prepared ourselves with the increase our material on the (inaudible) so that we can see through this period of rain on the mining particularly, but so far no major impact yet.
Rahul Paul - Canaccord Genuity: Okay. Thanks Attie and then moving on to Tabakoto, you did indicate that the higher cash cost in Q1 were partly the result of overlapping cost associated with the transition to own a mining, I am just wondering if that is something you could quantify i.e. of the $1154 announced cash cost number, what was the impact of the overlapping cost on a per ounce basis?
Christian Milau: Rahul, its Christian here. I don't have any exact dollar figure but certainly a couple of million dollars would be some salaries and some of the cost with our transition I would have been thing and bringing new teams and transitioning out the (inaudible).
Rahul Paul - Canaccord Genuity: Okay and would I expect that number to be similar going into Q2 or would it come down a little bit?
Christian Milau: I don't think in Q2 I mean Attie, correct me if I am wrong but I mean the transition really happened beginning of the quarter, there should be a lot less in terms of overlapping in this quarter.
Rahul Paul - Canaccord Genuity: Okay. Thanks. That's pretty much from me.
Christian Milau: Okay. Thanks.
Operator: Thank you. Our next question comes from Killian Charles with Industrial Alliance Securities. Please proceed with your question.
Killian Charles - Industrial Alliance Securities: Hi, guys. Thanks for that. On Tabakoto, about $16.5 million were spent, going forward for the rest of the year, is the plan still to spend between around $40 million there, what sort of the time line on CapEx or not sustaining investment at Tabakoto?
Christian Milau: I mean, it's Christian here, sorry. It's certainly during the second quarter is when you will see sort of the remaining spend on the actual equipment that we are buying. And then you will see a more of a sustaining level of capital in Q3 and Q4. Obviously Q3 will still have the end of the ramp-up at Segala so I think you will see sort of Q2-Q3, it starting to come down towards the end of that period. And then Q4 is certainly getting more towards our run rate I would think.
Killian Charles - Industrial Alliance Securities: Okay and just in terms of planned underground development, is it relatively even across all the remaining quarters or we are going to see a quarter where there is going to -- where you are planning to do much more development work?
Attie Roux: No I think it's going to be fairly even across the rest of the period now.
Killian Charles - Industrial Alliance Securities: And how many meters are you planning to do per quarter in terms of the development?
Attie Roux: I can't tell you of that, I will have to come back you on that.
Killian Charles - Industrial Alliance Securities: Alright. Well, thank you very much.
Attie Roux: Okay.
Operator: Thank you. Our next question comes from the line of Michael Stoner with Peel Hunt. Please proceed with your question.
Michael Stoner - Peel Hunt: Good afternoon guys. One quick question on Agbaou. Obviously, we have seen the recovery rate fairly high, Attie, you mentioned that in the throughput were function in material you are putting through, I cannot understand that throughput will drop when you put bit of harder the material but is there any guidance on what will happen with recovery?
Attie Roux: Well obviously, once we get into the typically harder material, I would expect the recovery to come closer to what the (inaudible) shared. I think the current high recoveries are maybe a function of the amount of free gold and find gold that chipping in the both very fine portions in the separate (inaudible) materials so but you know our overall design recovery is also fairly high and it's in the mid 90s anyway.
Michael Stoner - Peel Hunt: Yes, understood. And then the process is going on Houndé , understand you haven’t given kind of a tight timeline on that but can you quickly run through kind of beyond the results upside what they are looking at it, is it in plant sizing, I mean what’s the process going on there with the kind of development team now involved?
Neil Woodyer: Okay. The development team as you say the Agbaou people, who built Agbaou, they are looking at the feasibility to see -- based upon their experience with Agbaou is anything that would be change in the feasibility from the design, construction point of view. They are looking at the time-line for construction, the plant for construction. They are also looking at the effects of different throughputs to see if it can be changed in any way or things like that and then I will tell you explanation people beginning to look at potential resource increase so that later on we can see which is the optimum thing to do.
Michael Stoner - Peel Hunt: And I mean, is that a kind of process that we could see done by the end of the year or longer than that?
Neil Woodyer: Permitting should be done by the end of the year, we can't control it but it should be done by the end of the year. I am not sure how long the exploration program is going to take but we are setting one up to cover the next few months. It depends how things go. I hope by the end of the year, there should be more clarity, yes.
Michael Stoner - Peel Hunt: Okay. Perfect and then I think one for Attie, just to confirm when you expect to see the load grades stockpiles cleared out at the Tabakoto mill fleet?
Attie Roux: As I mentioned, we starting to the ramp-up Segala as from the middle of June roughly. So we will start seeing some more substantial tonnage coming from but definitely in the fourth quarter, during the fourth quarter, the displacement of tonnes will be come from Segala, so low grade stockpiles will be phased out of the plant three.
Michael Stoner - Peel Hunt: Perfect. Thank you for your time.
Attie Roux: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Thompson with Raymond James. Please proceed with your question.
Chris Thompson - Raymond James: Good morning, guys. Congratulations on a good quarter. Just like to sort of dig in a little bit of detail here. Just looking at Agbaou a the moment obviously just tell us sort of sort mill throughput, what potential is there if any to maintain that, was that the objective at the moment to maintain that sort of mill throughput for the rest of the year and if that is the case, can you give us a bit of an idea on the mine plan there?
Attie Roux: Okay. At first, thanks a lot. The current plan is obviously to be as much as we can at the reasonable right and that’s the current that I talking through we will be able to maintain this sort of right for a quite a few months going on to the rest of the year. Obviously, once we have that knowledge and we start seeing the proper run up mine material come through, we will take a view on what that excess capacity could be if any. Now currently, on the mining side, the initial start-up, you normally have a bit of tightness with the mining establishing with the pits and so forth but at this point in time we do not believe that the increase in the more capacity at the moment is substantially not to give us problems sort of mining.
Chris Thompson - Raymond James: So you can – you are considering I guess maintaining that sort of mill throughput for the next couple of quarters?
Attie Roux: Yes, obviously we will take the throughput as long as it lasts and then we will the view once we have more information.
Chris Thompson - Raymond James: Okay. And moving to Tabakoto could you quantify in any this sort of cost savings on a per mill basis that you will be hopefully getting – i.e. making the transition to line of operator as far as mining costs are concerned?
Neil Woodyer: I think certainly we anticipated, Attie correct me if I am wrong but sort of $30 per tonne I think is not a bad estimate and we certainly have been mining in the sort of depending on the timing but sort of $70 to $90 range and certainly expecting quite a decrease in that.
Chris Thompson - Raymond James: Okay. Great. Thank you. And then the final question I guess Kofi, can you give us a bit of update in regards to where do we stand as far as Kofi coming and what is needed I guess to realize that?
Attie Roux: Neil, do you want me to respond?
Neil Woodyer: Yes, you tell it Attie and I will follow up.
Attie Roux: Okay. Kofi, we have done an internal study on Kofi, so we obviously know what it is. The plan is that Kofi will be developed over the next period to take over from (inaudible) as the top up and the plan initially for the long term that we have to go underground, Segala underground, the three quarters of the (inaudible) heat with the surface source, the top of tonnes rather than the other way around. So (inaudible) we have got opened but finishes at the end of the year, early into the New Year. And the development of Kofi needs to happen during this period now, the next number of months, over the end. So that we can had Kofi ready to replace (inaudible).
Neil Woodyer: The technical report we have published recently on the Tabakoto for Kofi C, included 230 ounces of reserves. There are actually eight different deposits at the moment on the mining permit area we have applied for, so the intent is to bring Kofi C and to start with, do some work in Kofi B and follow around whether work would go so that we have a continue and long term supply we are anticipating that coming from the total Kofi projects. So we have to be clear, we are talking of Kofi C only at the moment and there is a lot more potential we can follow on from that.
Chris Thompson - Raymond James: And then the permitting for Kofi C, Neil is that on track? I mean do you envisage having the permits by the end of the year in order to consider it?
Neil Woodyer: Yes.
Chris Thompson - Raymond James: Yes? Okay.
Neil Woodyer: It's on track and we have got the environmental side, we are looking at some of the additional environmental questions associated with the area but we do expect full permitting this year so that we can be doing it into the production beginning of the next year or early part of next year here.
Chris Thompson - Raymond James: And then, sorry, the final question here. As far as metallurgy that has been reviewed and tested as far as Kofi C is concerned, are you happy with that?
Attie Roux: Yes. No problem we have done the work on that, there is nothing funny in it.
Chris Thompson - Raymond James: Good. Great guys. Congratulations again. Thanks.
Attie Roux: Thank you.
Neil Woodyer: Thank you.
Operator: Thank you. Our next question comes from the line of John McClintock with Pareto Securities. Please proceed with your question.
John McClintock - Pareto Securities: Hi, guys. Just briefly on cash balance and so forth but before I say that it looks like Chesapeake Mining Company actually bring cost down quarter-over-quarter but where do you sort of with Q2 been a heavy quarter, coming up, where do you see the cash balance is sort of dropping to and does that – will if flag any sort of covenants with your existing debt-holders?
Christian Milau: It's Christian here. I will take that question. Certainly, depending on timing of working capital and payments, and we have also got the lease for some of the equipments, we expect may just like drop in cash in the second quarter but with Agbaou performing well and with the gold pricing holding up we certainly expect to not been that materially below where we are and certainly second half of the year is when cash flow is positive is a nice turn around to cash flow positive on the quarter-on-quarter basis.
John McClintock - Pareto Securities: Okay. Thank you so much.
Operator: Thank you. Our next question comes from the line of Mark Bentley with MAB Trading. Please proceed with your question.
Mark Bentley - MAB Trading: Good afternoon. I have two questions. Firstly, on concerning note for the accounts that you published today, I note that the inventories have some spears and supplies have increased very substantially over the quarter. Could you explain that please?
Christian Milau: Sure. I will take that question. It's Christian here. One of the key thing happened in the quarter is Agbaou obviously all of the inventory at the end of the quarter come out of the capital. It was capital at the end of the last year. So it's a non-cash movement inventory where we have at commercial production classified it as inventory. So give or take sort of $15 million plus has all been moved in inventory. So that’s one big change. As well we have been also acquiring a few of the spears parts on that so a burnt cap when we have been taking over the owner mining. So some release to burn (inaudible) in as well. So we prepaid as you have notice as well, prepaid have actually come down because we prepaid last year for some of the parts and supplies that actually were delivered during the quarter. So it's actually show off an inventory but they have paid for last year and that would probably make up the chunk of the change there. So with the fourth mine coming on line, we have a bigger increase and as well as going to owner mining have a bit of increase as well.
Mark Bentley - MAB Trading: Thanks for that Christian. And my other question concerned Houndé and besides the permitting process and the ongoing optimization that you have mentioned, what will determine the likely timescale of that development commencing?
Neil Woodyer: I think the number of things. I think as you say, permitting, yet there is some more information about the upside potential beyond the good projects that there already is. The gold price and our general balance sheet and we go forward. So a number of factors we have to bring to account to see what’s the right thing to do and as I said earlier that there were very big sort of issue on capital allocation as to how we look at capital expenditure versus other things and process we are taking at the moment is to optimize our present operations, get more information about Houndé so we can make the right decision at the right time.
Mark Bentley - MAB Trading: Good. I am very pleased to hear that as a shareholder. I was a bit nervous about having to take on large change positions to protect additional debt if we needed to proceed with Houndé, so it sounds like you are taking a conservative approach which is really supportive. Thank you.
Attie Roux: Good. Thank you.
Operator: Thank you. Our next question comes from the line of Brock Salier with GMP Securities. Please proceed with your question.
Brock Salier – GMP Securities: Good morning gents, I was just wondering if you could add a bit of color and Zema regarding the mine scheduling between the various pits and how that's likely to impact the recovery for the remainder of the year?
Neil Woodyer: It’s definitely your question Attie.
Attie Roux: Okay. I will take it. I thought I am going to leave it to you. Okay. Neil, thanks for the question. And Zema is essentially and the majority of Zema material will be processed from their pit now. And there are some clean ups to be done on the settlement thing still, you know some of those pits need to be finding (inaudible) and then if you other few smaller pits like Aveda that we need to get access to supplement the tonnage from (inaudible) but essentially the material will be the main pit (inaudible). So looking at the total mix, you can see the recovery remaining roughly where it is now, it ran about the (inaudible)
Brock Salier – GMP Securities: Okay. Perfect. Thank you and then let's have a (inaudible) on the ground, obviously the financial rational to go on operator is excellent, can you tell me a bit about what your experience have been in the last six weeks, how you are going? Any risks inherent to on your style of working for yourselves?
Neil Woodyer: Well one of the reasons we did it, was just the obvious financial benefits. It was fairly would have one team on site and would be aligning everybody in their produce objectives. I think Attie can give you more detail but I think that we have had most of time actually quite a smooth transition, (inaudible) were very good and the access strategy, we are able to buy as Christian said, spears and other parts from them. That was very good. Majority of the equipment arrived on schedule, there were nothing special, it was little bit came in a bit later. We have taken over 300 people from Bangkok and brought on our management here and changed some of the management at the same time. So for that actually to move position to say that today we are actually through that phase and we actually own the mining and we can expect mine to be back on more and more basis now is very strong statement from the people who actually did it.
Brock Salier – GMP Securities: Okay. Thank you very much.
Attie Roux: I think if you have got. Okay, I am sorry, no problem.
Operator: Thank you. [Operator Instruction] Our next question comes is a follow-up from the line of Rahul Paul with Canaccord Genuity. please proceed with your question.
Rahul Paul - Canaccord Genuity: Hi, guys. Question to you again Attie, at Youga grades continue to be quite high. Is that positive reconciliation or it is mine sequencing?
Attie Roux: I think it is bit of both. It's a very difficult order it to draw and you know, especially in the grade control price as well. So we have had a positive reconciliation in the Youga for a period of time but as you can see the grade is seasonal at the mines but especially it's coming to the end of its life, I thought it will be finished this year. And then we will move on to the next stage.
Rahul Paul - Canaccord Genuity: Okay. And then just on the reconciliation where you seeing positive reconciliation on both the grade and the tonnes as well?
Attie Roux: No it's mainly on the grade.
Rahul Paul - Canaccord Genuity: Okay. Thanks. That's all that I had.
Attie Roux: Okay.
Operator: Thank you. There are no further questions at this time. Mr. Woodyer, I would like to turn the call back to you for closing comments.
Neil Woodyer: Thank you very operator. And thank you everybody for attending. I hope you can see that we have been through a lot of change over the last periods of time and we came in very much to an end of optimization. As Attie said we have done the underground mine, working above and we are now on to the final development at Segala and that will bring us into cash flowing second half of the year and then will have to take some practical decisions on capital allocations and what the priorities are going forward. Once we have achieved a low cost sustainable base, we should be moving towards very quickly and that is our absolute focus to do that. So ladies and gentlemen thank you very, very much for attending and additional questions are there email or telephone me if you would like to send any instance. Thank you very much everybody.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.